Operator: Good morning. Thank you for standing by, and welcome to Booz Allen Hamilton's earnings call covering Fourth Quarter and Full Fiscal Year 2022 Results. At this time all participants are in a listen-only mode. Later, there will be an opportunity for questions. I'd now like to turn the call over to Ms. Laura Adams. Please go ahead.
Laura Adams: Thank you. Good morning and thank you for joining us for Booz Allen's fourth quarter and full fiscal year 2022 earnings call. We hope you've had an opportunity to read the press release that we issued earlier this morning. We have also provided presentation slides on our website and are now on Slide 2. I'm Laura Adams, Senior Vice President and Treasurer and Interim Head of Investor Relations. And with me to talk about our business and financial results are Horacio Rozanski, our President and Chief Executive Officer; and Lloyd Howell, Executive Vice President and Chief Financial Officer. As shown on the disclaimer on Slide 3, please keep in mind that some of the items we will discuss this morning are forward-looking, which may relate to future events or our future financial performance and involve known and unknown risks, uncertainties and other factors that may cause our actual results to differ materially from forecasted results discussed in our filings with the SEC. All forward-looking statements are expressly qualified in their entirety by the foregoing cautionary statements and speak only as of the date made. Except as required by law, we undertake no obligation to update or revise publicly any forward-looking statements, whether as a result of new information, future events or otherwise. During today's call, we will also discuss some non-GAAP financial measures and other metrics, which we believe provide useful information for investors. We include an explanation of adjustments and other reconciliations of our non-GAAP measures to the most comparable GAAP measures in our fourth quarter fiscal year 2022 earnings release and slides. It is now my pleasure to turn the call over to our CEO and President, Horacio Rozanski. We are now on Slide 4.
Horacio Rozanski: Thank you, Laura, and good morning, everyone. Thank you for joining the call. Before we begin, I'd like to take a moment this morning to acknowledge the tragic events continuing to unfold in Ukraine, and share how Booz Allen is responding. As millions of people fleet a country or are displaced, the need for humanitarian assistance and protection grows more acute every day. In response, we committed to provide aid through an employee giving campaign and company match. Our employees' engagement in the campaign has been tremendous, and I am grateful for their generosity and compassion. From a mission perspective, our teams in Europe and the U.S. are supporting our clients across a broad range of areas. They are working around the clock to deliver critical capabilities and insights to our clients, true to our purpose. They are working relentlessly to change the world. I'm thankful for their dedication, the extraordinary power of their work, and the difference they're making to our teams supporting these missions. On behalf of the entire leadership team, thank you. Thank you for the work you're doing and the sacrifices you are making to serve our clients and the nation. It's an honor to call you our colleagues. Today, and always, our thoughts remain with the Ukrainian people, and we hope for a peaceful and just resolution to the conflict soon. This morning, Lloyd and I are pleased to report our results for fiscal year 2022. In a year marked by exceptional volatility, Booz Allen committed to a new growth strategy and multiyear financials, invested in our future and managed the business with precision and skill. I am extremely proud of the work and the impact our leaders and our entire team have made. Their talent and dedication underpin the results we shared with you today. For the full fiscal year, bottom line results were excellent. Revenue growth was also solid, but below our expectations set a year ago. We remain steadfast to our operational priorities throughout the year, culminating in growth across all markets in both the fourth quarter and the full fiscal year. We adeptly controlled costs to deliver on both our bottom line commitments and invested in our future and our people. One year into our multiyear investment thesis, we have made strong strategic progress and are on track to deliver against our goals. Over the next few moments, I will set the strategic context for our financial performance, and then Lloyd will take you through FY 2022 results and FY 2023 guidance in depth. As we shared with you on Investor Day, Booz Allen believes that the rapidly evolving challenges confronting our nation will accelerate the pace of change in our government's missions and use of technology. 5 to 10 years from now, technologies from 5G to AI and from blockchain to Quantum will be ubiquitous across a range of missions. And because we have been preparing for this for over a decade, we believe Booz Allen holds a strategic first-mover advantage. We have the opportunity to help our clients through their transformation to digital missions, and we are poised to convert this extraordinary opportunity into growth that creates long-term shareholder value. At Investor Day, we introduced VoLT, our growth strategy. VoLT reflects our ambitions and guides us as we build the Booz Allen of the future. In our next era, we will scale Booz Allen to an even greater level of industry leadership. We will be the premier partner to the federal government, continuously bringing innovation to national priority missions, faster than the pace of change. VoLT stands for velocity, leadership and technology. These three words are the fundamental principles for how we are transforming to achieve our aspirations. We advanced with velocity, investing ahead of emerging technology waves and expanding our market positions through strategic acquisitions and partnerships. We redefine leadership, investing in people with the right expertise to lead and scale hyper growth businesses at the mission technology intersection. And we apply next generation technology, creating differentiated intellectual capital and property to address our clients' needs at/or ahead of mission demands. Today, I am excited to tell you that VoLT is underway. As we operationalize the strategy, two success factors are clear. One, we need to make decisions faster to accelerate our growth. Two, our transformation will require relentless focus and seamless integration. This is why at the outset, we are taking an important step to address these needs. I’m excited to announce that we have named Executive Vice President and Civil Sector President, Kristine Martin Anderson as Booz Allen’s Chief Operating Officer. This appointment by the Board of Directors is effective June 1. Kristine is a proven leader who perceives opportunities amid challenges. In leading both our health team and our civil market, she has demonstrated the ability to grow and manage technology first businesses, develop talented leaders, help senior clients transform and integrate acquisitions. All while consistently delivering strong financial results. As our COO, Kristine will play a major role in Vault, taking primary responsibility for accelerating firm wide operational performance and the transformation of our business model, in collaboration with leaders from across the firm. I've had the personal pleasure of working with Kristine for many years. I look forward to partnering with her more closely in her new role for years to come. As a result of Kristine's changing role, Rich Crowe, currently Chief Growth Officer has been named Civil Sector President. Rich is a seasoned and innovative business leader who previously led and scaled the health account to its market leading position. An accomplished leader in his own right, Rich is also an indication of the depth of talent we are lucky to have in our firm. I hope you'll have a chance to meet Kristine and Rich at future events. Now allow me to share additional details on the progress we are making on Vault. Foundational to our strategy is building businesses at the intersection of mission and technology. As of April 1, we formally launched two operational business units, aligned to mission areas we believe are critical to our nation and prime for hyper growth. We have nested digital battle space inside our global defense sector. This is where we are innovating to help the Department of Defense securely drive information to the edge, to create decision advantage. By applying AI, machine learning, 5G and other emerging technologies to the joint warfighting mission, the women and men who defend our country will have superior situational awareness to make better decisions faster. National cyber, a core element of our national security sector builds on our leading position in the intelligence community. We have delivered innovative cyber trade-craft to these clients for decades and recognized that the cyber domain is horizontal and not vertical. Therefore, we are now extending and expanding our reach into scalable cyber solutions for a broader set of clients across the Department of Defense and civilian agencies. Our focus is on cyber network operations and protecting critical infrastructure. With the organizational launch of these two mission-centric businesses, we now have dedicated leaders and technical talent aligned to drive the team forward and deliver on a clear set of objectives. We have also taken the time to reimagine our innovation agenda. As of April 1, we integrated our IT infrastructure and innovation functions into a newly created Chief Technology Office led by Susan Penfield. This organization leads the way in scouting the market to select and scale the best new technologies for our client's mission needs as well as our own. We also continue to make strategic acquisitions and investments, consistent with Vault. In March, we announced the pending acquisition of EverWatch, aligned to our national cyber priority, which we hope to close in the coming months. We're also continuing to test the leading edge of commercial technology, making small investments to secure access to the next-generation of breakthroughs. And finally, also as of April 1, Liberty is fully integrated into Booz Allen and exceeding our expectations. This acquisition is strengthening our position in digital transformation and accelerating growth in the civil market. As you can see, our Vault growth strategy is more than aspirational words. Vault is both our future and our present and the work is underway. This is critically important. As we strive to meet our FY2025 investment thesis goal of adjusted EBITDA growth to $1.2 billion to $1.3 billion, supported by above market growth rates, stable margins with increased investment capacity and significant capital deployment. Shifting now to the current fiscal year 2023, we expect to continue strong growth at the top and bottom lines, while acknowledging significant volatility still exist in the environment. The U.S. economy, geopolitical conflicts, the post-pandemic work environment, upcoming midterm elections, and the federal budget beyond the current government fiscal year are all unknown. So we will need to navigate, creating headwinds and tailwinds we cannot fully predict. Our four operational priorities are aligned to the factors we can control and intended to build momentum in first half of the fiscal year to mitigate increasing volatility in the second half. First, we must hire aggressively to fully capitalize on our record backlog and robust pipeline. Second, we must continue our track record of winning work aligned to our client's highest mission priorities. Third, and of increased importance in an inflationary environment, we will continue to manage the business tightly, looking to direct our spend towards talent and strategic priorities, while delivering on our bottom line commitments. And fourth, we must maximize the value of capital deployment activities with a focus on small to midsize strategic acquisitions. When I consider what we have achieved in fiscal year 2022 and begin to set my sides over the horizon, I know our people are and will continue to be the heart of our success. As we enter this new fiscal year and execute our strategy, we focus on empowering our team to unleash our full potential and lead the way to a better future for Booz Allen, our clients, and the world and with that Lloyd over to you for a thorough discussion of fiscal year 2022, and our guidance for fiscal year 2023.
Lloyd Howell: Thank you Horacio and good morning everyone. We are pleased to share our fourth quarter and full year results for fiscal year 2022. Our performance highlights our strong business fundamentals and demonstrates our ability to meet expectations and accelerate growth as we exit fiscal year 2022, with broad-based momentum across all aspects of our business. Before walking you through our results, I want to frame the conversation and the context of our investment thesis, which is centered around growing adjusted EBITDA dollars by 50% through fiscal year 2025. To achieve this objective, we defined long-term financial targets at our Investor Day that will guide us. First, 5% to 8% annual organic revenue growth. Second, adjusted EBITDA margins stabilizing in the mid-10s and lastly deploying between $3.5 billion and $4.5 billion in capital. As you see our results exemplify our teams' disciplined and deliberate actions to execute against these long-term objectives to drive superior shareholder value in the face of operational challenges we have navigated over the past couple of years. Let me open with a few highlights from our fourth quarter result for fiscal year 2022. Revenue growth of approximately 13% compared to the prior year period represents our strongest quarter of growth since before the pandemic. Specifically, we reported growth across all of our markets with double digit growth in three of the four markets, underpinned by our fourth consecutive quarter of mid single digit headcount growth as we capitalized on strong demand signals resulting in a record fourth quarter book-to-bill of 1.66 times. Adjusted EBITDA margin was 9.2% a decrease of approximately 60 basis points in the quarter though, still contributing to 50 basis points of expansion for the full fiscal year. This marks an exceptional year of margin performance. We maintained strong contract execution and recognize cost savings throughout the pandemic, allowing us to make strategic investments in our business and people. Lastly, we delivered strong operating cash flow of $255 million in the quarter, an increase of 418% over the prior year. This resulted in a free cash flow conversion of 197% of adjusted net income, which further expands our capacity to strategically deploy capital against our long-term growth objectives. Let's now turn to our full fiscal year 2022 results. Please turn to Slide 6. At the top line revenue increased 6.4% for the full fiscal year to $8.4 billion, which includes $340 million from inorganic contributions. Revenue, excluding billable expenses also grew 6.4% year-over-year to $5.9 billion. Our organic top line growth was driven by successfully executing on the strong demand for our differentiated solutions, supported by sequential improvements in staff utilization. Let me give some color on the market level performance for the full fiscal year. Starting with defense, revenue grew by 2.1% for the quarter compared to the prior year period and 0.9% for the full fiscal year. Although we still have work to do, we are pleased with our team's continued efforts to improve on growth and overall performance, contributing to a meaningful turnaround this quarter. To be specific, we had several notable wins in the fourth quarter, including our $1.5 billion eMAPS to recomplete, the largest single task order in our company's history. This win demonstrates closest to our client's mission and dedicating investments to building leading edge technologies, which is a critical enabler of our digital battlespace platform as we continue to apply our differentiated solutions in new and meaningful ways. In civil revenue grew by 33.1% for the quarter compared to the prior year period and 20% for the full fiscal year. Organically revenue grew by 12.9% for the quarter and 5.4% for the full fiscal year. We are especially pleased with our double digit organic revenue growth in the fourth quarter, which highlights the growing momentum across all dimensions of the portfolio and factorising a number of exciting new work opportunities. Including Liberty's $735 billion DevSecOps win, which further deepens the mission critical work we do across the DA. In Intel, we have hit an inflection point. Revenue grew 11.1% for the quarter and 1.5% for the full fiscal year. This performance reflects the efforts made over the past several quarters to reshape parts of the portfolio to the high-end technical work we want to focus on, which is yielding positive results and contributing to exciting new wins. Lastly, global commercial revenue grew 40.1% for the quarter compared to the prior year period, which resulted in a 5.1% growth for the full fiscal year. Now onto Slide 7 for details on our demand signals, we are extremely pleased with our exceptional book-to-bill performance for the quarter and the full fiscal year. Book-to-bill of 1.66 times is a fourth quarter record, resulting in a full fiscal year book-to-bill of 1.36 times. Total backlog as of the end of the fiscal year grew 21.7% over the prior fiscal year, yielding our largest ever backlog of $29.2 billion. Funded backlog grew 5.7% to $3.7 billion, unfunded backlog grew 63.1% to $9.9 billion and price options grew 8.1% to $15.6 billion. These outstanding results highlight the market strong demand signals in our ability to shape, win and execute on mission critical work, align to budget priorities. With the budget in place, we are focused on working closely with our clients as they align funding outlays against their priorities. We are optimistic that we will continue to build on our strong demand results by sustaining our historical win rates for recompetes and new work while continuing to execute on our diverse pipeline of qualified opportunities. Taken together, these dynamics further cement our position as a market leader. Pivoting to headcount as of March 31, we had approximately 29,300 employees an increase of approximately 1,600 year-over-year or 5.7%. This performance exemplifies our ability to successfully execute on our core operational priority, to attract, hire and retain highly skilled technical talent required to meet growing demand in an increasingly competitive labor market. As we have discussed, accelerating headcount growth with the right skilled talent is fundamental to our long-term growth objectives. Equally important, we are actively working alongside our clients to shape the future of work and continue to evolve the way in which we and our clients do business each day to build upon the success we achieved this fiscal year. Moving to the bottom line, adjusted EBITDA for fiscal year 2022 was $935 million, up 11.3% from the prior year period. As I mentioned, our adjusted EBITDA margin of 11.2% reflects an expansion of 50 basis points over the prior year. For fiscal year 2022, margins continued to benefit from the following four dynamics. First, profitable contract level performance and mix, which includes inorganic contributions. Second, prudent cost management, which benefited from lower unallowable and discretionary spend. Third, a continuation of lower than expected billable expenses and what was an anomalous year. And lastly, a return to billing for fee largely within our intel market, which contributed $24 million in fiscal year 2022. Full fiscal net income decreased 23.4% year-over-year to $467 million. Adjusted net income was $568 million, up 4.9% year-over-year. Diluted earnings per share decreased 21.3% to $3.44 from $4.37 in the prior year period. And adjusted diluted earnings for share increased 7.9% to $4.21 from $3.90. Both GAAP and non-GAAP metrics were impacted by higher interest expenses over the prior year and a higher effective tax rate due to the timing of strategic tax planning initiatives in the prior fiscal year. These increases were partially offset by a lower share count due to share repurchases made in line with our capital deployment strategy. Turning to cash. Cash from operations for fiscal year 2022 was approximate $737 million, up from $719 million in the prior fiscal year. As we discussed last quarter, we continue to focus on consistent and sustainable strong working capital management that aligns with our operational performance. We are pleased with our fourth quarter operating cash results and will continue our efforts with laser focus to optimize our already strong balance sheet. Capital expenditures for fiscal year 2022 were approximately $80 million, down 8% over the prior fiscal year resulting in free cash flow of approximately $657 million and a free cash flow conversion rate of 116% of adjusted net income, which supports our strong balance sheet and capital deployment priorities. Please turn to Slide 8. Our strong cash flow from operations and solid balance sheet capacity allows us to invest in the growth of our business and maximize shareholder value. We maintained a disciplined and patient approach throughout fiscal year 2022, leveraging share repurchases of $419 million. Our regular recurring dividend of approximately $209 million and capital deployed for strategic acquisitions and investments of $866 million, a record in our company’s history. Our priorities around M&A along with optimizing our other levers will become an integral part of achieving our long-term growth objectives. Today, we are also pleased to announce that the Board has approved a quarterly dividend of $0.43 per share payable on June 30 to stockholders of record on June 15. Turning to guidance. Please move to Slide 9. For fiscal year 2023, our guidance outlook is centered around growing adjusted EBITDA to $950 million and $1 billion. We expect to achieve this by delivering revenue growth between 5% and 9%, which includes 1% of inorganic contributions from Liberty and Tracepoint. Achieving adjusted EBITDA margin in the mid to high 10% range, which reflects our long-term expectations for an incremental step down in margins as unallowable spend and billable expenses continue to normalize and make strategic investments in our business to fuel growth. And generating between $850 million and $950 million in operating cash flow, which will fuel the investments we need to make in our business and the capital we seek to deploy to achieve our long-term objectives. As shown on Slide 10. This guidance does not reflect our expectations for significant cash tax payments this year, given, the volatility we expect to experience. Specifically, we expect to pay approximately $550 million in cash taxes in fiscal year 2023, which includes approximately $150 million associated with Section 174. Inclusive of cash taxes, we anticipate our total operating cash flow for fiscal year 2023 will be between $300 million and $400 million. Additionally, at the bottom line, we expect adjusted diluted earnings per share of between $4.15 and $4.45 as shown on Slide 11. This range reflects strong operating results, inclusive of an inorganic contributions, incremental depreciation and amortization expense related to investments in our technology and infrastructure, a higher interest expense and a higher effective tax rate. This guidance is based on an assumed 131 million to 133 million weighted average shares outstanding, a tax rate in the range of 23% to 25%, an interest expense in the range of $108 million to $117 million. And finally, we expect capital expenditures to remain in the range of $90 million to $110 million, as we continue to meaningfully invest in our infrastructure and technology. In closing, I want to thank our entire Booz Allen team for their relentless dedication, to our mission, helping us deliver value for our clients while continuing to navigate the challenges that came our way throughout the fiscal year. We have built solid momentum across our markets. And as we enter fiscal year 2023, I am confident in the premium quality of our offerings and the strong fundamentals of our business. I believe we have the right team, vision and strategy in place to execute on our long-term objectives of delivering strong organic growth and driving superior shareholder value. With that, Laura, let’s open the lines for questions.
Laura Adams: Thank you, Lloyd. Operator, please open the lines.
Operator: Thank you.  Our first question comes from Sheila Kahyaoglu with Jefferies. Your line is open.
Sheila Kahyaoglu: Good morning, Horacio and Lloyd. Thank you for the time. So congratulations on like the inflection in revenue growth. You guys have been talking about it for a few quarters now, what drove that? It seems like things came together all at the same time, whether it was the eMAPS contract being awarded the recompete strong civil growth, and how do we think about that 5% to 9% revenue growth for 2023 in terms of the business segments or verticals?
Horacio Rozanski: Hey, Sheila, good morning. Thanks for the question. Let me maybe take a step back and frame last year into this year and beyond if that’s okay and I’m sure Lloyd is going to want to add to it. I think we went into last year. We’re very pleased with the results obviously, but having said that, there was a fair amount of volatility in the environment that I don’t think we fully captured in our guidance a year ago. And so we’ve been thinking about that and making sure that, that we are doing that into this year and beyond. As you look throughout the years sequentially, we hired really well. We won a lot of work and really all of our markets began clicking on the growth posture that we expect them to have. And that needs to continue for sure into FY 2023. If you look at FY 2023 guidance, we’re trying to do two things. One is we’re trying to be respectful of the fact that the volatility in the environment that we saw last year will not abate this year. And so we need momentum in the first half because we expect the second half to be somewhat more volatile. To reach this 5% to 9% growth rate, we’re really focused on organic growth and on organic growth across all of our markets, not one versus the other and the priorities are what I mentioned before, we need to hire, we need to win work, we need to continue to manage our cost base, so that we can be sure we have the resources to reward our talent and retain our talent. And then we really need to make smart capital deployment decisions, so that we can actually make acquisitions this year that will propel growth into the future. If I look at it all together and maybe to wrap up the – my part of the answer to this question is to say, we’re on track on the multi-year investment thesis, because we are really focused on organic growth and we’re able to deliver it.
Lloyd Howell: Sheila, thanks for the question. As it pertains to guidance, there are a couple dynamics we wanted to stay true on. One is that we’re well positioned. We wanted to capitalize on the strong momentum and we wanted to stay true to our investment thesis. And last October what we said was we were focused on adjusted EBITDA dollars. So as we exited 2022, our range of $950 million to $1 billion says to us that we’re on track. And when you look at each of the ranges for the components, you also notice that it’s a little bit broader than what we historically have done. And we attempted to take into account all those elements that Horacio mentioned that in previous years, we probably didn’t get quite right. We identified them, but not the impact. So the 5% to 9% in revenue from our perspective is returning to that organic growth objective being the leader in the sector that we have been in the past. The margin of mid to high 10s, as I said in my prepared comments really is a reflection of returning to a more normalized environment. Some of the dynamics with billable expense, probably shifting a bit, being more of a headwind, same with unallowable costs and the opportunity to invest in the business areas that we highlighted last October. Cash, the operations are generating solidly. So our range of $850 million to $950 million, excluding cash tax payments we feel is really going to give us the flexibility to do what we need to do. And the cash taxes are really a timing issue. I mean, this year $400 million of it is really going to be income tax expenses with a higher tax rate, effective tax rate and $150 million for that Section 174 legislation. And then lastly with ADEPS $4.15 to $4.45 also reflection of higher tax rate, a bump up in interest expense, and the diluted shares outstanding. And just as a reminder, this is why we’re focused on adjusted EBITDA dollars. We recognized last year that we were going to have some things impacting the bottom line that we’re going to be outside our control. So we think the guidance is on track. It’s consistent with our investment thesis and we’re off to a good start.
Sheila Kahyaoglu: Thank you both for that. Just one follow-up Lloyd that $400 million of cash taxes, it seems one time in nature. What do cash taxes normalize to in terms of the cash tax rate going forward?
Lloyd Howell: Yes. This year we’re going to have at its headwinds. We suspect that the point in the future it’ll come back to us. So we felt that bridging it for everyone today so that we don’t have to revisit it in the future. You’ll see sort of what the dynamic is. So a little bit of a crystal ball Sheila in terms of where it actually will normalize, but certainly the upward trend – there’s an upward trend to it.
Sheila Kahyaoglu: Okay. Thank you.
Operator: Thank you. Our next question comes from Gavin Parsons with Goldman Sachs. Your line is open.
Gavin Parsons: Hey, good morning.
Horacio Rozanski: Good morning, Gavin.
Gavin Parsons: Lloyd, if I could just stay on the cash taxes for a minute there. Could you give a little bit more detail just on what exactly is driving that given, it looks like that’s almost double your GAAP tax rate. I mean, is that something that you’ve underpaid over the last few years or are you prepaying for the next few years?
Lloyd Howell: Yes. You’re exactly right. In the past, we underpaid and so again, back to my answer to Sheila expected to come back. So it’s really a timing issue. We’ve had a pretty strong strategy around taxes over the years and payments comparatively were lower in the last two years due to the implementation of our strategic tax initiatives. So we do expect normalization as the benefits from our ongoing initiatives are recognized.
Gavin Parsons: Got it. And I know you said it's a bit of a crystal ball, but is this the cumulative amount of underpayment? Or do you think you still have some to go in the future?
Lloyd Howell: Probably some more to go in the future, but it is what it is right now.
Gavin Parsons: Okay. Thank you. That's helpful. And then maybe on headcount growth. I know 4Q is not typically the strongest hiring quarter, but maybe if you could discuss why headcount didn't grow sequentially in the quarter and what you're assuming for headcount growth in fiscal 2023?
Horacio Rozanski: Why don't I start? I mean, obviously, this is our top operational priorities to attract and retain the right people in the business. And we feel we're doing very well against that if I'm not mistaken, we're at 5.7% over – year-over-year headcount growth for FY 2022. We always started to get the mid-single-digit headcount growth and to meet our organic growth requirements. We'll do the same thing in 2023. The Q4 numbers, as you pointed out, first of all, that's not typically our strongest hiring quarter. But the other thing is, as we continue to control costs and make sure that we're doing the right thing there, there's – what you don't see in the numbers is a shift from non-billable staff to billable staff that happened throughout the quarter as we hire more in one area and when we manage down some costs in the other area.
Gavin Parsons: Okay. Thank you both.
Operator: Thank you. Our next question comes from Louie DiPalma with William Blair. Your line is open.
Louie Dipalma: Good. Good morning, Horacio, Lloyd, Laura and Megan. And congrats, Kristine, on your appointment.
Horacio Rozanski: Thank you. Thank you for that. We're very excited about that.
Louie Dipalma: For the eMAPS recompete, is the ceiling double the previous ceiling? And was the original contract expected to end in 2023?
Horacio Rozanski: The ceiling is expanding greatly. I haven't done the math precisely, but I think there's at least $0.5 billion of new ceiling in there as the mission, the scope continues to expand and frankly, the impact of our work makes our clients need and want more, as you know, we were expecting this to be done earlier in the year, but it's we're poised to ramp up there. I think it underlies why we are confident the growth of our defense business this year. And again, it is obviously financially important, but it's also strategically important because this is the type of work we want to do. At the center of the mission, driving both mission priorities and technology into core key missions that are going to need and are going to be transformed by it. And I think we've pointed out this may be the largest single task order in the history of Booz Allen, so we're excited about that.
Louie Dipalma: Great, Horacio. And it seems that you're investing significantly in this area. You established the partnerships with Synthetaic and Reveal. And following this successful renewal, I was wondering how are your other data analytics programs progressing such as during your Analyst Day you highlighted project Rainmaker with the Army, and you've also highlighted your Advana platform that you co-developed with the DoD. I was wondering broadly how all of your initiatives with AI are progressing. Thanks.
Horacio Rozanski: Thank you for remembering what we talked about at Investor Day with such clarity, Louie. Sometimes we – it's hard to tell if people are going to remember everything we talk about, so I'm really appreciative of your attention to all of this. I think this all falls into the rubric, generally speaking, of digital battle space, and the work that we are doing to knit all of these legacy systems and new technologies in the department to give the warfighter a decision advantage. And that's Advana is more of a headquarters play on that, Rainmakers, data fabric that is supposed to go headquarters to the edge. A lot of the work that we're doing in digital battle space is around building the IP and IC that would allow us to have a unique position in this notion of creating the data fabric that connects all of the systems and gives the warfighter what they need from a data perspective. And then on top of that, we want to make sure that we're building the AI tools, resources, algorithms to make that information valuable real-time. A couple of the small investments that you described are all under the rubric of the work that we're doing in the CTO office to make sure that we're really scanning what's happening in the commercial markets, what are the new technologies, the new thinking and how do we make sure that DoD has access to that real-time. So we're talking about one a company that does synthetic data because, as you know, you need that to build these models and to train them all faster algorithm compression so that we can actually push that to the edge and the like. So we're obviously very bullish on that. This is one of the areas we're talking about for VoLT for hyper growth that will fuel not just 2023 but 2024, 2025 and well beyond.
Louie Dipalma: Sounds good. Thanks, Horacio.
Horacio Rozanski: Thank you.
Operator: Thank you. Our next question comes from Matt Akers with Wells Fargo. Your line is open.
Matt Akers: Hi. Good morning. Thanks for the question. I guess a couple more on the revenue kind of walk year-over-year. Is it possible to size how big the Middle East, South Africa business was? And then I guess for EverWatch, can you say how big that was? And just to verify, you're not including that in the guidance yet? Or are you?
Lloyd Howell: Yes. I'll start. I mean on the Middle East business, it's small. It's not going to shake up the financials in any kind of way. I'll never watch. I really can't give you much more today until we close and we remain confident that we're going to get there. It's not included in the guidance that I provided earlier.
Louie Dipalma: Got it. Okay. And then I guess just on debt interest up a little bit in fiscal 2023. You guys have a little bit of variable rate debt. Just is there a chance a change in your sort of thoughts on fixed versus variable rates debt or maybe hedging going forward given some of the moves in interest rates here that we're seeing.
Lloyd Howell: Yes. No, it's top of mind for sure. Today, it's 67%, 33%, fixed to floating. We're looking at it in light of interest rate movements and it will also be part of how we think about our future financing certainly in the near and the midterm.
Louie Dipalma: Okay, got it. Thank you.
Operator: Thank you. Our next question comes from Cai von Rumohr with Cowen. Your line is open.
Cai von Rumohr: Yes. Thank you so much. So book-to-bill was, if you take out the acquired backlog looks like it was about one-four. Could you give us some color on the demand trends you're seeing now, and also your funded book-to-bill was pretty anemic, not quite as bad as CACI’s and any trends you're seeing are things starting to continuing to pick up as we go into the current quarter?
Lloyd Howell: Yes, I'll certainly start, Cai. As we've been saying for quite some time, even though I may not have felt like it previously, the overall market and the demand signals have been pretty solid. I think we did see some program slippage. I think others talked about that too. But with the budget in place, we're seeing a pretty robust RFP season. As you can see in our disclosure, our win rates for recompetes still holding at 90% for new work in the low 60s, our dialogues with our clients are both existing tasking and future tasking is also pretty robust. And you also saw a pickup in price options, which we see as a leading indicator to our client satisfaction with Booz Allen, but also their confidence about what they'd like to do going forward. Then lastly, the pipeline is extremely robust, backlogs up 22% year-over-year. And so we feel good about all of that. In terms of the mix of funded and unfunded, over the years that sort of ebbs and flows and it's really a function of timing. And as clients sort of think about their priorities and maybe shift a little bit, average contract side tends to be about five years. And so we've got large – increasingly larger and larger technical work. And so we're going to see some of that bump around, but I think you nailed it in you're opening question. We really internally look at the trailing 12 months and if it's north of 1.2, we're feeling pretty good and to be at close to 1.4 times that just further tells us we've got strong demand signals.
Horacio Rozanski: Yes. If I can build in just in a couple directions so what Lloyd is saying, as we've always – we've been saying for a while, we're not demand constrained. We appreciate the volatility in the environment, which is why we're really focused on the first half of this year on building momentum. And from a growth perspective, I was reflecting the other day on the fact that we are fast approaching 30,000 people, fast approaching $30 billion in backlog so the number 30 is pretend something good for us in the long. And it speaks to the growth that we both have been able to generate, and we aspire to create under Vault. And then my prepared remarks, I try to take you through some of the leadership changes, organizational priorities and investments that we're making to ensure that this acceleration of organic growth that we're talking about in 2023 continues into 2024 and 2025.
Cai von Rumohr: Thanks so much. So turning the headcount, I mean, your head count was up, but how far was it up organically and it was down sequentially. So are you having any trouble hiring? And so I mean, you said you're not demand constrained, but are you supply constrained?
Lloyd Howell: Yes. I think we have consistently said it's a tight labor market that remains true today and into the future. We thought 2.8 organic growth in our headcount. And we're very pleased with that, just given the tightness in the market. As Horacio said, we did have some staff departures, but actually that was a part of deliberate cost synergies that also sort of nudged it down sequentially. So what are we doing about it, got a very aggressive referral program. We're increasingly reaching out to our traditional and non-traditional sources. The overall pipeline of candidates has been growing and because of our culture and because of the recognition we've gotten widely, we are seen as an employer of choice. So we remain optimistic that back to targeting mid single-digits this fiscal year that we're going to get increasingly closer to that. But it still remains a very tight labor market.
Horacio Rozanski: Yes. Cai, as you know, this topic of talent is near and dear to my heart, it has always been. I would say, there's three things, we're laser focused on. The first one, as Lloyd said, we're controlling costs in large to make sure that we have the resources to reward our people, to retain our people to compensate in a very tight labor market. Two, we are continuing to invest in our environment and in our culture, the people are now able to return to the office in a much more flexible way. We're hearing really good things about that. And again, the culture of Booz Allen has always been a differentiator. And three, ultimately, the work that we are doing keeps people here, wants people to come here. I open the call today, talking a little bit about the work that we're doing to support the U.S. government on what's happening in Ukraine. That's the type of work that makes the people working on it proud, but it makes us proud and it makes people want to come to Booz Allen to be part of those missions.
Cai von Rumohr: Thank you very much.
Operator: Thank you. Our next question comes from Colin Canfield with Barclays. Your line is open.
Colin Canfield: Hey, good morning. Can you just discuss your organic guidance in the context of the multi-year growth target cadence? You said that you're on track for your investment objective, but you're underperforming the mid of the previous organic growth target of 6.5%. Then as we think out, kind of on a multiyear period, what sort of hiring do you need to accelerate or what sort of hiring do you need to see to accelerate above this year's organic guide? Thanks.
Lloyd Howell: Yes, we're looking at a 4% to 8% range organically, the midpoint of which is significantly north of our exit and 2022. And to Cai's question, if we're able to hit mid single-digits in terms of bringing on the talent. We think the conversion of our very strong backlog puts us solidly in that space. So momentum is building, we feel good about the demand signals as I mentioned earlier. We're going to continue to make recruiting and onboarding our top operational priority which will put us, we believe in those ranges.
Colin Canfield: Got it. And then with respect to the 1% inorganic growth contribution this year, can you just talk a little bit about the valuation framework that you're looking at in terms of your capital's deployment strategy? Is there a good payback period to think about or if you think about out your Investor Day targets, kind of what's the updated inorganic placeholder we should be considering for adjust EBITDA?
Lloyd Howell: Yeah, the 1% is a reflection of our past commentary on M&A. Liberty has been fully integrated as of April as well as Tracepoint. So this year we saw about $340 million of contribution from those guys to our overall performance. So on a go-forward basis we're obviously looking at the financials, but our priority around M&A is strategically going to accelerate our growth. We have strong cultural alignment and then do the financials make sense. And in the case of Liberty and Tracepoint, both of those were great case studies as to how we get there or where we want to be.
Operator: Our next question comes from Seth Seifman with JP Morgan. Your line is open.
Seth Seifman: Hey, good morning. Thanks very much.
Lloyd Howell: Good morning,
Seth Seifman: Good morning, Lloyd, can we dig into this tax issue a little bit more because when I look in the 10-K it doesn't look like the cash tax payments have been lagging significantly behind the GAAP. And then if I think about this year's cash tax payment, let's put aside the R&D issue, which nobody knows if that's going to stick around or not, but even putting that aside, it's like a 50% tax rate. And so when you think about like, where should it go going forward? And it seems like maybe, it's still going to be elevated or moving north or something like that, I guess. Can you help us level set there a little bit more?
Lloyd Howell: Yeah, you know, the timing of our past tax strategies has put us in the 22% to 24% range. Going forward, we expect it to be at the upper end of that 24%. So in the past years, we were successful in having – managing our taxes for the long term and able to drive the tax rate down, obviously pending legislation and things of that sort, we're seeing it going in the other direction. So I take push back a little bit on the 50%. The effective tax rate is more in that 23% to 25%, but we've got these additional dynamics as it pertains to the legislation that bumps it up.
Seth Seifman: Okay. Just to understand the tax rate, like if we cash taxes would be $400 million, if not – let's put aside the R&D issues, cash taxes would be $400 million without that?
Lloyd Howell: Correct, correct.
Seth Seifman: Okay. Yeah. Okay. And pretax income was something like $750 million or so?
Lloyd Howell: Yeah, we've got in terms of our operating cash we've got $850 million to $950 million which back to my prepared remarks, really to us indicates that the operations are solidly generating what we would expect.
Seth Seifman: Okay. And so if we think to the out years, should we think if the GAAP tax rate is 24% that your cash taxes should be in line and there would be really no changes on the – or no inflows or outflow showing on the cash flow statement or the cash taxes might be different.
Lloyd Howell: Yeah. I think you got it right. I mean, that is true. But we're also going to see some things come back to us given our strategies that we've had. So we really see that the timing of payments is really the dynamic that we're grappling with. And we wanted to disclose that to you also, that you you're able to sort of model it and understand it.
Seth Seifman: Okay, great. Thanks. Thanks very much.
Operator: Thank you. And that's all the time we have for questions. I'd like to turn the call back to Horacio for any closing remarks.
Horacio Rozanski: Thank you very much. Thank you all for your questions this morning and for joining us. I hope in the last hour we gave you the additional insight you need to be able to see how well we're doing both delivering financially and transforming strategically under vault. We are undergoing a lot of plan change and I am very proud of that. But maybe in closing, the important thing is also to talk about what doesn't change. And the top thing that does not change at Booz Allen is our purpose and our values. We're now almost 30,000 strong and the people of Booz Allen and are as committed as always to empowering each other and everybody around us to change the world, and to live our values out loud. And that makes being recognized by Forbes as number three, among the Top 500 best employers for diversity, particularly meaningful. The diversity of our workforce, it reflects our values, and it enables us to attract and retain exceptional talent. I believe that diversity of perspectives, ideas, and experiences are key to achieving the visions that Lloyd and I described for you today. And I'm extremely optimistic about the future of Booz Allen. And in large part, because I get to experience the passion and the quality of our people first-hand each and every day, so once again, thank you for being with us today and have a great day.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.